Operator: Good morning and welcome to Whirlpool Corporation’s Fourth Quarter 2016 Earnings Release Call. As a reminder, today’s call is being recorded. For opening remarks and introductions, I would like to turn the call over to Senior Director of Investor Relations, Mr. Chris Conley. Please go ahead.
Chris Conley: Thank you and good morning. Welcome to the Whirlpool Corporation fourth quarter 2016 conference call. Joining me today are Jeff Fettig, our Chairman and Chief Executive Officer; Marc Bitzer, our President and Chief Operating Officer; and Jim Peters, our Chief Financial Officer. Our remarks today track with a presentation available on the Investors section of our website at whirlpoolcorp.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corporation’s future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10-K and our other periodic reports as well as on Slide 1 of this presentation. Turning to Slide 2, we want to remind you that today’s presentation includes non-GAAP measures. We believe these measures are important indicators of our operations as they exclude items that may not be indicative of or unrelated to results from our ongoing business operations. We also think the adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business operations. Listeners are directed to the supplemental information package posted on the Investor Relations section of our website for a reconciliation of non-GAAP items to the most directly comparable GAAP measures. At this time, all participants are in listen-only mode. Following our prepared remarks, the call will be opened for analyst questions. As a reminder, we ask that participants ask no more than two questions in the first round and then time permitting we will address any follow-up questions after everyone has had a turn. With that, let me turn the call over to Jeff.
Jeff Fettig: Well, good morning to everyone and thank you for joining us today. As you saw in our press release this morning, we delivered our fifth consecutive year of record ongoing earnings, with a 14% growth in our earnings per share. This was done through focused execution and strong operational actions and we were able to more than offset the impact of global volatility to deliver good earnings growth. Our restructuring and integration activities remain on track and we delivered over $200 million of benefits during the year. Additionally, we continue to invest on our innovation pipeline. And last year, we launched more than 100 innovative new products throughout the world. We continue to execute our balanced approach to capital allocation, increasing our dividend by 11% and repurchasing $525 million of common stock. In total, we distributed more than $800 million of cash to shareholders, which was up by $300 million versus the previous year. As a result of these collective actions, we did – we are able to deliver total shareholder returns in the top quartile of the S&P 500. Turning to Slide 5 to look at our full year results, our full year revenues grew by 2% excluding the impact of currency. We grew ongoing business earnings to a record level at $14.06 per share as we realized substantial acquisition synergies, delivered unit volume growth and drove strong productivity to expand our margins. We also improved our free cash flow versus the prior year. Turning to Slide 6, you will see our 2017 priorities. We continue to see multiple paths for profitable growth and margin expansion. The demand trends we see in the U.S., India and many parts of Europe are positive and we expect currency to have a more moderate impact than we have seen during the last 2 years. Within this environment, our focus in 2017 is to drive our growth above industry demand levels while expanding our margins in all four regions. We expect another year of strong cost productivity and we have detailed actions to reduce cost in place around the world. We also expect to realize significant benefits from our integration activities in Europe, which we expect to be completed by the end of this year. We will continue to fund the business through strong investments in innovation, while leveraging our robust innovation pipeline, which we believe will improve price mix and drive continued growth. We also plan to significantly improve our working capital through inventory optimization plans primarily focused in Europe and North America. By delivering on these actions, we do expect to have the capacity to both manage through global volatility and deliver substantial earnings growth and free cash flow improvement. Turning to Slide 7, we show our 2017 guidance. We expect to deliver ongoing earnings of $15.25 to $16.25 per share, which represents strong double-digit growth versus last year. We also expect to generate approximately $1 billion of free cash flow, which is a substantial improvement versus last year. And this is really driven by margin expansion and working capital improvements. So in total, our plans, our strategic framework and our record of execution gives us good confidence that we are going to continue to deliver sustainable value creation in 2017. So with that, I would like to turn it over to Marc Bitzer to review our global operations.
Marc Bitzer: Thanks, Jeff and good morning everyone. Turning to Slide 9, we will review our fourth quarter performance in North America. Net sales were over $3.1 billion, an increase of more than 8% excluding currency. From an industry standpoint, we stated previously what we expect of the industry to rebound in the fourth quarter. It rebounded strongly in the fourth quarter to deliver a 6% growth rate for the second half, consistent with our 2017 guidance. The industry had a strong Black Friday period, especially in the mass and value segments as the benefits of real wage growth most significantly impacted low and middle income consumers. Consistent with the prior three quarters, we leveraged investments in our new products to drive very strong growth in the quarter. Additionally, our sell-through outpaced our shipment volumes, indicating continued solid and consumer demand for our product and brands. Our operating margins were 11.1%, down from the prior year. This was largely driven by price mix and the impact of the Mexican peso. As many of you are aware, the Mexican peso has now devalued nearly 15% since mid-October and our margins were negatively impacted by approximately $20 million. While we have already responded with previously announced cost-based price increases in Mexico, it will take some time for them to fully be implemented. In the U.S., price mix was negatively impacted by the growth of value in mass segments of the industry as well as the elevated level of promotions by certain competitors in the fourth quarter, most prominently in washers. We have recently won an antidumping case against those competitors. But obviously, their activity has still impacted our fourth quarter results. Turning to Slide 10, we have outlined our 2017 expectations and operational priorities for the North America region. We expect that the industry will grow by 4% to 6% behind continued solid macro trends, including housing, real wage growth and lower unemployment. Our expectation is that the industry’s strength will continue in mass segments and we plan to pursue opportunities to drive positive mix through strong cases of new product introductions. As a result, we expect to continue delivering growth at or above industry levels while expanding margins. We also remain committed to aggressive cost takeout programs, which are expected to more than offset modest raw material costs and currency impact and contribute positively to margin expansion. For the full year, we expect to deliver operating margins between 11.5% and 12%. Beginning on Slide 11, we will review fourth quarter results for our Europe, Middle East and Africa region. Sales were $1.4 billion, down 8% versus the prior year, excluding the impact of currency. Ongoing operating margins were 3.3%. Very similar to the third quarter, our margins were negatively impacted by approximately $40 million in currency and demand impact in our UK business related to the Brexit decision. Additionally, our margins were impacted by approximately $10 million for production and inventory reduction in response to lower demand. As discussed previously, we have already implemented cost-based price increase in response to the currency devaluation, but the full benefits were not yet visible in the quarter. We expect to recover this margin impact by mid-2017. Turning to Slide 12, we outlined our expectations and operation priorities in Europe for 2017. We expect the industry to grow 1% to 2% in 2017 primarily driven by growth in Russia and Eastern Europe. We are pleased to see increased demand activity in these countries after several challenging years. Based on current market rates, currency weakness is expected to continue, especially when compared to the first half of the year as anniversary pre-exit rates. Operationally, brands and product transitions remain a key focus and we expect to complete these transitions by midyear. Our consolidated product and brand platform is a key driver to delivering growth in the coming years. In addition to these priorities, our focus in 2017 is on driving significant free cash flow improvements behind working capital reduction initiatives. We expect meaningful improvement in inventory levels as we complete our brand and product transitions. Overall, we expect to deliver operating margin of 5% to 6% for the year, a 1 to 2 point increase compared with 2016. I will now discuss our Latin America results on Slide 13. Sales for the quarter were $860 million, an increase of 2%. Our fourth quarter operating profit totaled $70 million and margins increased 130 basis points versus the prior year. We continued to expand margins and gain significant market share for strong operational execution, focusing on delivering price mix and new product launches despite soft industry demand in the quarter. We are pleased with these results and are well positioned going to 2017. On Slide 14, we outlined our 2017 priorities for Latin America. We are expecting demand stabilization in Brazil, with single-digit industry declines in the first half and modest growth in the second half. For the full year, we expect the industry to be flat. We expect currency to have a neutral impact to results in 2017 based on current market rates and our hedge positions. We will continue to deliver revenue growth and margin expansion both in and outside of Brazil, driven by price mix initiatives and the strong cadence of new product introduction in the region. We will also continue to drive cost out of the business, leveraging our right-sized fixed cost structure and maintaining our focus in cost productivity. For the year, we expect to deliver 7.5% to 8.5% operating margins, another year of meaningful margin improvements. We now turn to our fourth quarter results for the Asia region, which are shown on Slide 15. Net sales were $352 million versus $312 million in the prior year period. Excluding the impact of currency, sales increased 18%. Our ongoing operating profit was $19 million compared to $11 million in the prior year period. Ongoing operating margins are 5.3%, a nearly 2-point improvement versus the prior year. We delivered strong cost takeouts and our marketplace investments drove above market growth. Turning to Slide 16, you will see our 2017 priorities for Asia. Our expectation is for zero to 2% industry growth for the region. The demand trends remain favorable in India and we expect to deliver revenue growth for our expanded distribution network in China, despite a neutral overall demand environment with strong plans to deliver margin expansion by leveraging our investments and innovation. And we expect to continue delivering strong cost productivity. Behind the strength of our plans, we expect to deliver 7% to 8% operating margin in 2017. Turning to Slide 17, we summarize our regional margin progression goals for 2017. We fully expect to deliver another year of record performance and we are confident in our ability to expand margins in all regions through disciplined and decisive execution of our priorities. And now I would like to turn it over to Jim.
Jim Peters: Thanks Marc and good morning everyone. As Jeff mentioned, we delivered our fifth consecutive year of record ongoing results in 2016. We achieved this effectively – by effectively managing currency headwinds and demand weakness in our businesses outside the U.S. Turning to our fourth quarter results on Slide 19. Net sales were $5.7 billion and grew by more than 2%, excluding the impact of currency. We achieved all-time record ongoing earnings of $4.33 per share, driven by strong cost productivity, volume and revenue growth and acquisition related synergies, despite approximately $30 million of negative currency impact to our quarterly earnings. Our effective tax rate for the year was just under 17% due to the timing of our tax planning activities. Our guidance assumes a rate of approximately 22% in 2017. Consistent with what we have done in prior years, we will continue to evaluate our tax planning strategies throughout the year and it is possible that we may have some favorability to that number. We also increased free cash flow above the prior year. On Slide 20, we provide an update on the progress of our restructuring and acquisition integration activities. We incurred restructuring expenses of $173 million and delivered $216 million in benefits. For 2017, we expect $200 million in expense and $75 million in benefits. These benefits are included in our total cost takeout guidance. Our 2017 guidance is shown on Slide 21. I will walk through the key drivers and assumptions behind these numbers on the next few slides. On Slide 22, you will see our expectations for 2017 ongoing EBIT margin expansion. Our strong plans position us well for another year of EBIT margin expansion. We plan to deliver improved product/price mix by leveraging the mix benefits of new product introductions. We expect approximately $300 million in total cost takeout, which includes initiatives to more than offset approximately $150 million in global raw material cost increases based on what we know today. We will continue to invest in our industry leading brands and innovative product portfolio to deliver above industry growth rates. And while we expect currency to be a headwind in 2017, we anticipate a more modest impact compared with the past 2 years. In total, we expect to deliver approximately 75 basis points of margin expansion over the prior year. On Slide 23, I will highlight the first half versus second half timing of our earnings drivers for 2017. We expect volume to be a positive contributor to earnings in both halves of the year, although historically, the first quarter has been the softest of the year. We expect to see the impact of raw material inflation early in the year given the timing of most of our renegotiated supplier contracts. And consistent with prior years, we expect the impact of our aggressive cost takeout programs to ramp up throughout the year, with the majority of benefits to occur in the second half. As discussed earlier, currency will be a headwind, but the expected impact is mostly in the first half until we anniversary the effects of Brexit starting late in the second quarter and our previously announced cost based price increases are expected to be fully effective by mid-year. Overall, we expect full year earnings seasonality to approximate 40% in the first half and 60% in the second half. We would expect normal seasonality in our earnings split between the first and second quarters. On Slide 24, we provide additional details on our cash flow and capital allocation priorities. We delivered $630 million of free cash flow in 2016. This includes the impact of $119 million in restructuring cash outlays and $162 million associated with legacy product warranty expenses in Europe. We expect approximately $165 million of restructuring cash outlays and $70 million from legacy product warranty expenses in 2017. We also plan to fund our pension obligations by approximately $45 million in 2017. During the year, we invested approximately $660 million in capital expenditures to fund our innovation programs and returned more than $800 million of cash to shareholders through share repurchases and increased dividends. We expect $700 million to $750 million of capital spending in 2017, consistent with our long-term goal of approximately 3% to 3.5% of net sales. And we plan to continue returning significant levels of cash to shareholders through dividends and share repurchases under our existing buyback program, for which we still have $700 million of authorization remaining. In summary, we expect to deliver approximately $1 billion of free cash flow in 2017, a substantial improvement while continuing to execute against our balanced capital allocation strategy. Turning to Slide 25, you can see our 2017 free cash flow improvement drivers. We expect to deliver approximately $200 million to $300 million of cash earnings growth through our margin expansion plans. We expect to generate an additional $200 million in free cash flow through focused working capital improvements, primarily through inventory management. Most of the inventory improvement will come in our EMEA region as we complete planned brand and product integrations related to our integration efforts. We see substantial opportunity to drive cash flow improvements through our optimized manufacturing footprint, simplified product and brand structure and increased supply chain deployment efficiency. In North America, we expect to continue realizing the benefits of previously implemented integrated supply chain initiatives. These actions are expected to structurally reduce inventory levels by approximately six days in 2017. We are planning a slight increase in capital spending to fund innovation throughout the world as we complete integrations in Europe and emerging market demand rebounds. Turning to Slide 26, we show our cash deployment priorities, which are unchanged. We expect to continue share repurchases in 2017 in addition to funding the business and delivering a strong dividend. Now I would like to turn it back over to Jeff.
Jeff Fettig: Thanks Jim. I will turn to Slide 28 and I would like to provide an update on our long-range goals and our value creation framework. Since we first provided our 2018 goals over 2 years ago, we have experienced significant changes in the global economic environment. As we talked about previously, we believe that we are in a strong dollar era, which is not likely to change soon. Since early 2015, we have seen significant devaluations in many currencies and companies, where we operate, have a big position. These devaluations have had a significant impact on our results, causing $6.50 a share of earnings and reducing our revenues by $3.5 billion. Additionally, we have had demand shocks in several emerging markets. For us, that’s most prominently in Brazil, China and many Eastern European countries. These demand shocks have impacted us by another $2 a share in earnings and reduced our revenues by $1 billion. We have responded to these changes with cost-based price increases and substantial fixed cost reductions, while at the same time, continuing to invest in our innovative products and strong brands. We do believe that emerging markets will be a catalyst for growth in the years to come. But the translational impact of currency is something that we expect that we will not be able to fully offset by 2018. Although the environment which we operate has changed, our commitment and our path to create long-term value for our shareholders has not. We remain very confident in our long-term value creation framework, which we again show on Slide 29. We are the number one appliance manufacturer in the world, with a leading global market share position along with leading key positions in key countries around the world. Our unmatched scale gives us substantial opportunities to reduce cost and improve the efficiency and effectiveness of our investments. We have 7 $1 billion plus brands in our portfolio and a strong innovation pipeline for new products. In fact, our brand portfolio remains one of our greatest assets enabled us to reach over 90% of all consumers globally. We are committed to aggressive cost takeout and productivity and we plan to further leverage our best cost global operating program as we have demonstrated this type of execution over the last several years. Our operating platforms and position in key emerging markets is also very strong and we will capitalize on future growth in those economies as they start to rebound. Finally, our strong free cash flow generation allows us to continue our balanced capital allocation approach. So, we are quite confident that collectively executing this framework will enable us to continue to create sustainable long-term shareholder value creation. I would now like to turn to Slide 30 and I would like to summarize the components of our long-term value creation goals. We expect that with our leading portfolio of brands and our product innovation pipeline that we will be able to deliver 3% to 5% annual organic revenue growth per year. We expect to expand our EBIT margins to 10% plus by 2020 through both strong cost productivity and again by leveraging our brand portfolio and product portfolio to drive both consumer demand and positive price mix. With these growth and margin expansion actions, we expect to grow earnings per share 10% to 15% each year. We also expect to deliver free cash flow of 5% to 6% of revenues by 2018. Our 2017 guidance is another big step forward towards achieving these goals and our record of effectively managing through global economic volatility has been good. And we have proven that we can deliver sustainable long-term value creation for our shareholders in most any type of environment. Finally, I will turn to Slide 31 and kind of summarize our key messages of the day here. Last year, 2016 was our fifth consecutive record year of ongoing earnings per share and our guidance for 2017 clearly indicates we expect that to continue. We have returned over $800 million to our shareholders, an all-time record. We are confident in our plans to drive significant revenue growth and margin expansion around the world, with a very good recovery, particularly in the European region in 2017. And lastly, we expect significant free cash flow improvement in 2017, which comes from earnings growth and working capital management. So as I step back, overall, we believe our long-term fundamentals are very strong and we look forward to sharing a lot more details about our plans at our Investor Day, which we are scheduling for early May. But at this point in time, I will end our formal remarks and we’d like to open it up for questions.
Operator: [Operator Instructions] We can take our first question from Michael Rehaut with JPMorgan. Please go ahead.
Michael Rehaut: Thanks. Good morning, everyone. Mike Rehaut, JPMorgan. First question, and I think this is on a lot of people’s minds with looking into the North American margins, is – and this is something Marc, I think, you alluded to in your prepared remarks earlier, was the pricing and promotion environment. And you mentioned Marc that promotions, I guess, particularly in washers continued in the fourth quarter despite the initial positive ruling and the subsequent final ruling in January. So just curious, since that final ruling, have you witnessed any change in the pricing or promotional environment? And do you expect – was there some type of perhaps flurry of activity in the fourth quarter before that? And have you seen any change in the marketplace since then? And then I have a follow-up.
Marc Bitzer: Michael, so it’s Marc. Obviously, your question probably backed a little bit of long answer – implied many questions. Let me first comment on the North America volume and price environment and kind of the impact in our margin, of which what you alluded to the activities by certain competitors is the only one part of that. First of all, the volume, as to some extent expected, but came out even stronger when we originally forecasted. The Q4 industry was very strong. It came, as I pointed out before, largely at the mass and value segments, which is not surprising if you look at all the consumer confidence data on the lower, middle-income buckets. So I would say, finally, the consumer is entering stores. Now, that doesn’t help your price mix to be honest and I will come back to this one later on. The back half, i.e., the second half of 2016 was 6% volume growth, which is exactly what we pretty much forecast for ‘17 if you take the higher end of our 2017 forecast. So yes, the volume was strong. I would also argue that industry sell-in may have been a little bit stronger than the industry sellout, which is different from our own numbers, but we had a very strong sellout. The pricing environment, I would say, was impacted by two factors. One was, as I mentioned before, the growth of the mass and value segments. And two, yes, there were still very intense promotional activity by certain competitors as we alluded – particularly in washers segment. In Q4, it did not come as a complete surprise because as we know we always talked about they stockpiled a lot of inventory from a summer and that has not completely sold in Q3. So, that was kind of a hangover from this massive stockpiling prior to the summer initial ruling. And particularly, one of them continued an extremely aggressive promotional cadence throughout the entire Q4. Now obviously, the final ruling, as you know, was not in Q4. That was in January. And I would say it’s too early to say, doesn’t really change their behaviors and we are obviously actively monitoring. Of course, our expectation will be that finally, a fair trade environment is reestablished, but the history of the past tells us we have a couple of question marks. But we are obviously actively monitoring and take actions whenever necessary.
Jeff Fettig: Yes, Michael. This is Jeff. I would just add to Marc’s comments, couple of things. One as you look at the total North America margin, we did have a fairly impactful currency hit during the quarter. Two, we have – as you step back and think about it, Marc said it absolutely correctly is we basically had demand for the year of 6%, very steady in the first half, first half is up 5%. We talked last time about the unexpected stop in demand where it was basically flat, which was very strange and we all speculated as to why and then it doubled the run-rate in the fourth quarter. And so – but for the year it was 6%. I think the reality is that’s pretty much what the markets ran at for the year. That’s not the most efficient way for us to run our business with zero demand increase in Q3 and double-digit increase in Q4. So you obviously run – have a few inefficiencies in that kind of cycle, if you will. And we did and we have them behind us. And then the third thing, to Marc’s point on margin, yes, we have said all along, we have been very clear publicly with investors, with the government, this illegal dumping that’s been going on for a long period of time has had a negative impact on our margins, but it’s already in our baseline. And we did have a situation in the second half of the year where one particular competitor had stockpiled massive amount of washers and that probably just added to that, but it’s not new. We have been dealing with it. And that’s all reflected in the fourth quarter.
Marc Bitzer: And Michael, it’s Marc again. Just to maybe add one last comment and also as we turn the page to 2017 and obviously, the North America margins which is the center of many questions. Our Q4 margins in North America were at the low end of our guidance. They were within the guidance, but the low end. Now you have also seen, we have given the guidance for next year, which is the above for 2016 actuals. And we are strongly convinced we can drive volume growth above market growth and expand our margins. It’s obviously at a more modest pace compared to a couple of years ago, but it is a margin expansion. I also want to emphasize, this is not based on some irrational hopes about certain competitors becoming all of a sudden completely different. We do believe we have opportunities on cost productivity. We have a number of product introductions, which help us on price mix and we took certain other actions. So we are strongly convinced we can expand margins and drive above market growth.
Michael Rehaut: I appreciate that guys and it’s a comprehensive answer. Secondly, you also alluded to pricing in the UK and some of the challenges there and the price increases that I believe you enacted last quarter and I believe you said you expect it to be fully enacted by mid-’17, along with maybe not just price but also cost actions, just wanted to get a sense of where that price traction with price stands today, do you feel like you are a third of the way in or is it – in terms of the amount that’s stuck or how you see that in the marketplace. And then just the technical question on the ‘17 guidance if that includes any share repurchase or not for the EPS line? Thanks.
Marc Bitzer: Mike, let me maybe first take the UK pricing question and Jim is probably going to talk about share repurchase or Jeff. First of all, again, to put for everyone on the phone UK business in context, historically that represented about 20% to 25% of our new Europe, Middle East and Africa revenues, but also historically represented a higher percentage on our profit, so it was an above average profit market, which also explains why our UK concerns weigh heavily on our European overall margins. On UK pricing, the honest answer is we have been slow in getting traction with pricing. Now, to give a little bit more color on this one. We went out with two price increases and what we have seen in Q4 and obviously, I cannot comment on competitors pricing. What I do can comment on is consumer pricing in the marketplace, okay. If you look at the consumer pricing in the marketplace, you would see that Whirlpool or Hotpoint, i.e., our brand, our branded products have high single-digits consumer price increase, in the ballpark of 7% to 9%. If you would look at the broader market, you would also see that in the second half of 2016, we were largely on our own with that price increase, which probably explains why in a very price elastic market like UK, we had a fairly significant volume impact. So yes, we got a high single-digit price impact, which came with a massive volume loss, but it also tells you that pricing is not yet enough to fully recover what we lost in the currency. It’s just a simple reality. We have further pricing actions and obviously, given the nature of UK market, we have a fairly big mail order business and long-standing consumer pricing. It will be interesting to see in the month of January, which is particularly critical for UK, how the overall consumer pricing landscape is going to be impacted. But we remain confident we will, every month, month by month, find more traction with pricing.
Jeff Fettig: We talked about this on the last two calls. And in July when the Brexit decision first came out, we basically said we did not know what the impact would be. In the end of the third quarter, we said it cost us $40 million in the third quarter. And now it’s cost us $40 million year-over-year in the fourth quarter. We think that will lessen somewhat in Q1 and hopefully some more in Q2 and then – but we won’t see recovery on our business until Q3 when we start anniversarying this whole thing. So all-in-all, it’s cost us just last year probably $0.80 a share. In the second half of last year, we have put a lot of pressure on the rest of our business. But it’s a – we believe it’s a matter of time. Unfortunately, we think it will be a full year before we see the full positive benefit.
Jim Peters: And Michael, to your second question, this is Jim. We – in the supplementary materials, we said that we modeled 76.3 million shares from a guidance perspective. And that includes any buybacks we have done up-to-date. And as we have said, there could be future buybacks, but also there are compensation plans where shares are issued. So none of that is incorporated at this point, but 76.3 million is what you should be using.
Operator: Thank you. Our next question comes from Ken Zener with KeyBanc Capital. Please go ahead.
Ken Zener: Good morning gentlemen.
Jeff Fettig: Good morning Ken.
Ken Zener: Two compound questions here to address these issues, it seems that 300 basis points in EMEA tied to Brexit is the differential between the guidance you are giving this year and where we started out FY ‘16 as I look at your guidance there, so that’s I guess kind of understandable. My – and I think investors’ key concern is given that you also have to prove your success, Whirlpool that is, your guidance for North America margins this year of 11.5% to 12% compares to last year at this point, where you are 11.5% to 12.5%, yet the unit growth is the same, so can you put that in context for – is it just the peso and the Canadian currency, which seems to be about 60 bps drag year-over-year in the fourth quarter because you had good volume. Marc, you talked about the mass product price mix drawing you down, if you could really be a lot clear about that, because that always happens in the fourth quarter, all of your other businesses, which historically are higher margins, so can you talk about the margin pressure we are seeing in the U.S., isolate currency, isolate the product mix as it relates to these core issues of washers, which are now coming out of Vietnam and Thailand? Thank you.
Marc Bitzer: Hi Ken, let me try to answer it. First of all, because you started on the Europe margin progression, yes you are right, the kind of 1 to 2 full points of margin expansion in Europe, which we expect is partially driven by the UK pricing or currency recovery. There is also a significant part of synergies and restructuring carryover. We always allude to this one, so it’s not just baked on pricing. There is also quite a bit of sustained cost productivity benefits and synergy benefits, which lead to that 50 mark progression. Now, more specific on the North America margin, first of all, I would argue that you can’t compare with starting point of ‘17 with the starting point of ‘16 because the overall environment based on currency, raw materials, etcetera, is just not comparable. So I think you should always compare to where you would exit the year and where the exit run rates are, okay. I would say right now kind of first of all, there is ongoing cost productivity we have also in North America, which is more than what we expect as a raw material cost increase, which by the way, is a big difference to ‘16. You had entering ‘16 still raw material tailwinds and we now have raw material headwinds. That is the fundamental massive difference. Of course, there is a fundamental currency reset. Entering ‘16, you had the Canadian dollar reset and now we have a massive Mexico reset, which is from a magnitude kind of not even comparable to what we have seen before and it seems to be getting worse day-by-day. So these are the big differences. But again, the margin expansion is driven by cost productivity, and two we still have a whole bunch of product introductions, which will allow us to drive mix in this still fairly aggressive market environment.
Ken Zener: I guess, the second question, I think Whirlpool is one of these [indiscernible], if you will and there is a really interesting article in Cleveland.com highlighting the fact that production just stopped from China and immediately went to Vietnam and Thailand for LG and Samsung, by and large for their products and Jeff, I believe I know you don’t want to talk about politics, but I believe your travel schedule last week involved DC, how – can you kind of put this in context, because clearly these firms went from Mexico to China and now to other parts of Southeast Asia and we do have a different environment, not only is it more fiscal oriented versus monetary, but we have a President that’s a bit more focused on the imports, can you talk about how perhaps that impacts U.S. producers like Whirlpool and GE? Thank you.
Jeff Fettig: Yes. Ken, I mean the high level, I mean let’s start with Whirlpool. We are a global company. We have a global operating platform. And for the most part, our production is local for local. 82% of what we sell in the United States, we make in the United States. We never left the U.S. from manufacturing. We spent probably $1.5 billion over the last 6 years upgrading all of our U.S. – nine U.S. facilities, not only to the state-of-the-art manufacturing, training of our people, product innovation and so on. So we are hugely committed to successful U.S. manufacturing. We manufacture more in the U.S. than everyone else put together in our category. Now – so we also have been a victim, if you will, of illegal dumping for a long period of time in the U.S. appliance business. And so as it relates to the – I can’t comment on any particulars, because I don’t know them, but in terms of the new administration asking input from U.S. manufacturers, the things really are about, how do we ensure that American manufacturer is competitive? How do we create good new jobs in manufacturing? And what kind of inputs could – in terms of specific, whether it’s around regulations or trade or taxes, would help American manufacturers not only be competitive, but also be able to add new jobs. And so that’s – we have been part of that as there are many industries and there is obviously no conclusions yet, but given our footprint in the U.S., our position in the U.S., absolutely, we want to both have great manufacturing competitiveness in the U.S. and we want territory.
Operator: Thank you. We will go next to Bob Wetenhall with RBC Capital Markets. Please go ahead.
Bob Wetenhall: Hey, good morning. I don’t know who the question is for, but your volume was like 12%, which is awesome and you had a little bit of a pricing headwind yet you saw margin contract by 130 basis points. So, I just thought with given the fixed cost nature of the business, it would offset the price decline. Can you step me through – I didn’t think the currency impact, in particular in 4Q specifically was like the driver of negative margin compression. What’s going on specifically just for the fourth quarter in North America in terms of profitability?
Marc Bitzer: Hey, Bob, it’s Marc. So let me try to take this one. First of all, yes, our volume growth was significant. As usual, that’s the total volume growth, which we published in North America, which also includes Mexico and Canada and which also includes KitchenAid small domestic, so it’s not fully comparable to whatever is the published market on T6 or T7. Having said all that, as I have mentioned before, the margin impact was largely driven by three elements: one, yes, the Mexican peso weighs heavily, ballpark $20 million and particular as we exited the year, so that is a pretty heavy weight on this one; two, lot of the market growth, it’s hard to exactly tell you for 12% how much loss, but I would say the majority came in mass and value segments, which are profitable, but not as profitable as the high-end products. So, they don’t have – they are profitable and you make money on them, but they don’t help you lift the average profitability. And thirdly, yes, in particular in washer, we were impacted by the aggressive promotion environment and that was probably the most painful one, because there was a lot of growth in washers in the markets and we simply could either not participate, because it was not value-creating or it was not very attractive promotional environment for washer. So, these were the three big elements which really impacted the Q4 margins.
Bob Wetenhall: Got it. That’s exactly where I was trying to get. Thanks for the clarity there. Your segment margin targets for EMEA and LatAm, just trying to get some context, obviously, some FX headwinds with Brazil, softer demand in the UK, you guys have done a great job stepping us through that. Are you confident that as you cycle through in next year, that you can get to this range, because it looks like an aggressive range to get that margin uplift? And by the same token, it sounds like the Brazilian economy is turning pretty dramatically. And is your Brazilian outlook in terms of margin performance and targets potentially conservative given the fact that economic growth seems to be reasserting itself?
Marc Bitzer: Bob, it’s Marc again. So, let me maybe first start with Latin America and Brazil and this is maybe one of the most overlooked gems which we had in our Q4 results. Because if you look at the Brazil margins in Q4, despite a really soft market environment of double-digit down, it’s actually fairly impressive. What it really means, we brought the cost in our pricing into a situation where even with low volumes we have actually fairly attractive margins. What we have modeled for full year is flat with some cost in the first half as I indicated and probably modest growth in the second half. So I would say yes, on surface, the Latin America margin target is 7.5% to 8.5%, they may seem aggressive, but you can imagine this is not too dissimilar from what we had in North America several years ago. We have now the right structure from fixed cost and pricing, you load a little bit of volume on this one or you start not losing volume, you have very attractive margins and we are highly confident in Latin America. On Europe, yes, it is quite a bit of growth versus last year. I would also argue 2016 was impacted by – was an extraordinary event, which we are anniversarying through and where we had certain mitigating actions. And on top of that, our cost takeout is and has been fully on track. So, we have no reason to slowdown our perspective integration activities. We know how much is coming through. We have so far fully delivered on the integration cost takeouts. Actually, local currency and over-delivered and so take the two things, working through the UK issues, getting the integration benefits better how we get to these margin targets. And that does not yet fully factoring any stronger growth for Russia, which as you know is highly impactful in our margins in Europe. The one thing which you didn’t ask, but I guess you implied it, we also want to be clear, we have not walked away from our long-term margin targets in Europe. Whatever we communicated around the acquisition, we still think it’s fully achievable, because the UK impact has probably been delayed by a year, but we fully stand behind these long-term targets.
Operator: Thank you. We will take our next question from Denise Chai with Bank of America/Merrill Lynch. Please go ahead.
Denise Chai: Right, thank you. Can you hear me?
Marc Bitzer: Yes.
Denise Chai: Okay, great. Just going back to Slide 28, could you please breakout the drag from currency and emerging market macro in each year?
Jim Peters: In each year. So, if we go back and look at in – we were $200 million of a drag this year. And then last year, I believe we were $400 million drag from an EPS perspective from currency.
Denise Chai: How about emerging markets?
Jim Peters: Then emerging market demand, if you really look at, I would say approximately – that’s approximately half and half, maybe a little bit more heavily weighted to the prior year, within that ballpark now, yes.
Denise Chai: And for ‘17, what are you assuming?
Jim Peters: So for ‘17, we are assuming currency has an impact of $0.50 right now. And then for demand, as Marc alluded to on the demand, we assume flat.
Denise Chai: Okay, got it. Thanks. And just looking at sundry and some which tends to swing around a bit, what are some of the swing factors for ‘16 and what’s baked into your expectations for ‘17?
Jim Peters: Sorry, I didn’t hear the sundry. We expect it to be flat year-over-year.
Denise Chai: Okay, flat, got it. Thank you. And so just one last one, just looking at your restructuring cash outlays, do you think that ‘17 will be the peak or how are you thinking about this going forward?
Jim Peters: Well, I think what you will see at ‘17 and ‘18 are the two heaviest years. And then once we get beyond ‘18, it drops off dramatically. So our expectations right now would be ‘17 and ‘18 are the peaks.
Operator: Thank you. Our next question is from David MacGregor with Longbow Research.
David MacGregor: Yes, good morning. I guess I had two questions. Jeff, first of all, in your prepared remarks, you made reference to some inefficiencies that you incurred on the, I guess, on the manufacturing side and the laundry given the strength in the quarter. And I am just thinking about that Western Ohio laundry complex, where I believe you are still running two shifts and not yet running a third shift. And I guess my first question is given the strength we have seen in laundry and your success in winning some share back there in 2016, are you beginning to bump up against some manufacturing constraints with the two shift model there that’s creating marginal cost that was a factor in the margin performance in the quarter? And does this mean you have to bring on a third shift in ‘17 and what the economics of that might reflect?
Jeff Fettig: David, no, really what I was referring to was we did have a strained second half from a demand and shipment standpoint. Things were – as you know our industry well, I mean, it’s fairly predictable going up or down or whichever direction. And the first half was pretty solid throughout the quarter, 5% growth. And then all of a sudden, we saw zero, actually, negative growth in July and August and September. And as you know, we don’t wait very long to start digesting our inventories and production and so on and so forth. So we were surprised in the Q3 with 2 months of negative demand and shipments. And then it came roaring back even much more than we expected in the fourth quarter. And so my only point was is that we have kind of a plus 5% first half, flat third quarter and a plus, whatever it was 12% fourth quarter. There is a lot of gyrations in your supply chain and manufacturing adjustments and inventory and so on and it just cause inefficiencies. It has nothing to do with capacity. We can handle – I mean, you are right I mean we have a lot of options on capacity. We got installed capacity. We got shifts, little bottlenecks we can resolve in a fairly short period of time. So it was really just about the unusual nature of Q3 demand or lack thereof and then roaring back in Q4.
David MacGregor: Okay. Thanks for that. And then my second question, I guess with respect to again, you are talking about the recovery of demand and value price points, I am not sure if everyone on the call understands that in those price points, you play with some different brands Roper at Lowe’s and Amana at Home Depot, but in our price checks over Black Friday, you were a full $100 below where the Koreans were playing and I am just wondering if maybe you got yourself a little overly aggressive on value pricing in the quarter and that may have been a factor in the margin performance as well?
Marc Bitzer: David, it’s Marc. We saw what you wrote in your pre-call. Long story short, I am not quite sure I would concur with your observation. At one point, we may want to do store check. If you compare a high capacity top loader from certain competitors, which is brought down from a regular MSRP from $999 to $499 and you compare that with a lower capacity agitator model, it’s – you may have $100 difference, but it’s not remote to comparison. Bit line structure entire point, which we always made about price compression throughout the range. So you are comparing apples-to-oranges. And if you would have seen at some of the frontload pricing and high-end top-load pricing of certain competitors, it’s being, by a long shot, the most aggressive in many years so completely different from apparently what you observe.
Jeff Fettig: And I would only add to that Dave, I think that’s – the price point thing, you are probably right. But in terms of the apples-to-oranges is the issue. In fact that’s what we proved decisively with the Department of Commerce and ITC was that it’s not price points, it’s like comparisons. And we are – I doubt that we are the lowest in the marketplace.
Operator: Thank you. The next question is from Sam Eisner with Goldman Sachs. Please go ahead.
Sam Eisner: Yes. Good morning everyone.
Marc Bitzer: Good morning.
Sam Eisner: So, just going to your total cost takeout number that you cited of about 1.5 point, which includes the $150 million of raw material headwinds, I think if you add that on top of the roughly $300 million, you have to drive about $450 million of cost takeout this year, can you just bucket where that’s coming from, I think you called about $75 million from restructuring, but still is a pretty sizable chunk, if you can just highlight where that’s coming from on a dollar basis that would be great?
Marc Bitzer: Sam, it’s Marc. First of all, your math is correct, $150 million raw material headwind, that’s what we see at this point. Obviously, associated with some uncertainty, but that’s what we see from today’s perspective between $450 million on all the other cost buckets. So yes, we have $75 million restructuring. There is also quite a bit, as I alluded earlier, of synergies from the acquisitions and our ongoing cost productivity, which basically means targeted cost takeout on certain existing products, etcetera. And also fixed cost actions, which we are taking. So we typically don’t break it down in buckets in terms of what is fixed cost, what is cost takeout and what our synergy is, because and particularly between synergies and cost takeouts, 3 years of integration is kind of hard to split it out. We will split out of course, the restructuring going forward. But again, the total is $450 million in terms of cost takeout absent of raw material and we are - also if you look at historical run rates, I think that’s a level which we absolutely are confident we can achieve.
Sam Eisner: Got it. And then just maybe going back to the North America pricing, if you look at the retailer comps, you think Home Depot as a proxy, right, they have seen basically double-digit comp in their appliances throughout the course of the first nine months of the year and so I was wondering if you can just opine on kind of how your customers are thinking about the promotional environment, how accepting are they of getting actually price increases into next year. And then ultimately, is there any kind of commentary that you would like to provide on how any announced price increases are looking through January? Thanks.
Marc Bitzer: Sam, it’s Marc again. First of all, when you look at the numbers, which were communicated or published by Home Depot or Lowe’s, yes, their appliance business was very strong. Keep that in mind that it was on the back of some fairly significant distribution shifts in the overall landscape, which has been going on for some time and probably was accelerated in particular back end of ‘16 and is not yet over. So I would see underneath was strong North America market, there is some fairly massive distribution changes, which I would say right now play in favor of both Lowe’s and Home Depot. And we don’t see that this is going to slowing down immediately. In that environment again, it’s obviously – we don’t comment on how certain retailers respond to our promotion offers or whatever we plan on price increases. It’s – retailers compete against each other and usually there is not always a receptiveness to drive pricing up, but that’s our day-to-day work and that’s what we have done in the past.
Operator: Thank you. We’ll go next to Alvaro Lacayo with Gabelli & Company.
Alvaro Lacayo: Good morning. I guess my first question just on the sort of unique nature of the way that the demand for shipments worked out in the back half of the year, maybe if you can provide some more context or perspective on what drove the strength and if there is any sort of one-time items that made this number look stronger, I mean I don’t know whether it’s destocking from competitors or if there is some pull forward in demand, but any commentary around that would be great. And then with the 4% to 6% growth that you are predicting for North America going into ‘17, what is the primary driver of that growth in terms of that mass and value segment, is that going to be the predominant driver and does that sort of weigh down on mix through ‘17?
Jeff Fettig: Let me take the first one since I brought it up. No. Like I said, I mean we were perplexed in July and August when we saw negative shipments from the industry after a very consistent plus 5%. And if you remember in the third quarter call, we said that didn’t make a lot of sense to us. Candidly, all the underlying – our drivers of appliance demand were good, in fact very good. And the – anecdotally, the only thing we could really assess at that point in time with our retail customers was that that was the height of the political election campaign, a lot of negative stuff out there and that makes consumers cautious and for a period of time quit buying. We also said we think that would continue. And I think when we gave kind of our full year guidance in October, it assumed that we kind of popped back to 5% or so demand. Well, the fact of the matter is again, anecdotally, it looks like that was pretty much spot-on and that the pent-up – the delayed purchases in Q3 came back on full force in Q4. And I frankly think it’s as simple as that. The full year was 6%. We always talked about 4% to 6%. So I think that’s the natural run rate. And I would go back in Marc’s comments for this year. The underlying demand drivers are all good. Replacement is good, new construction is good. Just the home sales is good and discretionary, which is largely remodeling, is good. So that’s why we expect to see that kind of demand.
Marc Bitzer: Alvaro, it’s Marc. Maybe just adding particularly for the ‘17 outlook again, we guide 4% to 6%, which will be kind of at the pretty much where the back half was. That is based on we still see strong housing environment, so we basically see 1.3 million housing starts, around 5.5 million existing home sales, low unemployment and consumer confidence above 90. And we – for today’s perspective, we just don’t see any reason why this would slowdown in ‘17. Now what you need to be careful as in the past is whenever you see monthly industry shipment data, always don’t lose that these are sell in shipment data, which may be impacted by when certain competitors bring products into the country, how they manage, recall the units and shipment data so there is noise in the monthly shipment data. Unfortunately, there is no reliable public information of sell-out data, but from the data which we have, consumer sell-out is much more stable than you would expect from these sell-in data, which also is probably explanation between the strange Q3 versus Q4 numbers. Consumers act more stable from a sell-out perspective and what we see – what we saw on December, that’s what we have seen in January so far. Now specifically answering your question on the mass and value, yes, we do and that’s probably a positive perspective from a macroeconomic. The wage growth arriving finally in the middle and lower income levels, which drives them back in the stores and then drives some demand. Our job is through cost productivity and mix management to make us very profitable also in these segments.
Operator: Thank you. Our next question is from Megan McGrath with MKM Partners.
Megan McGrath: Good morning. Most of my questions have been answered, just a couple of clarification, on your EBIT walk at the end of your presentation, in terms of price mix, you are expecting zero, I think zero to 2.5 this year, what was it in ‘16?
Jim Peters: So if we go back in ‘16, we would have been about a negative point of price mix as we look at for the full year. And then the 0.5, the zero to 0.5 we expect is based on our previously announced price increases going into 2017 as well as our new product launches.
Operator: Thank you. We will take our last question from Sam Darkatsh with Raymond James.
Sam Darkatsh: Good morning Jeff, Marc, Jim, how are you and happy New Year too.
Jim Peters: Thank you.
Sam Darkatsh: I understand we are up against it on the clock. I just have clarification questions, if I could. Of the $450 million in total cost takeout and $150 million in raw material inflation, how much of that is North America specific for both those line items?
Marc Bitzer: Sam, it’s Marc. And as usual, we don’t breakdown exact details. Now, what I can tell you first of all, $150 million, but $150 million raw material headwind is largely North America and largely globally on steel. And steel particularly see on North America and China. So if you want to say so, I would say of $150 million, North America and China sees a disproportioned amount, but we see a somewhat unfavorable environment pretty much throughout the globe. As I said before, there is some uncertainty around these numbers. We don’t believe always raw material trends are demand-driven, so there are there factors coming to play and that drives some uncertainty. But that’s what we see today. The $450 million, on the other hand yes, there is a North America portion. Keep in mind, there is still, I would say disproportionate amount off in Europe and that’s just a result of restructuring and still remainder of integration benefit.
Jeff Fettig: Okay. Well, with that, we have hit the hour. I would like to just close again. Appreciate everybody being online. We finished a record year ‘16 and we are going to a record year in ‘17. There is a lot of volatility but hopefully as we have talked, we have got the plans in place to be able to deal with this. So we look forward to – thanks or joining us. And we look forward to talking to you next time. Thank you.
Operator: And this will conclude today’s program. Thanks for your participation. You may now disconnect.